Operator: Good morning. My name is Sharon and I will be your conference operator today. At this time I would like to welcome everyone to the Eldorado Gold First Quarter 2015 Financial and Operating Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks there will be a question-and-answer session. [Operator Instructions]. I’ll now turn the call over to Paul Wright, CEO of Eldorado Gold. Mr. Wright, you may begin your conference.
Paul N. Wright: Thank you operator. Good morning and thank you all for joining us this morning. Welcome to our first quarter financial and operating results call. In Vancouver this morning we have Norm Pitcher, President; Fabiana Chubbs, Chief Financial Officer; Paul Skayman, Chief Operating Officer and Krista Muhr, Vice President of Investor Relations. As always we have provided detailed financial and operational information in yesterday’s press release. Before I begin I need to remind you that any projections and objectives included in our discussion today are likely to involve risks, which are detailed in our 2014 AIF in the forward-looking statement disclaimer at the end of yesterday’s news release. We will follow the usual format with myself providing some general comments on the company’s business and our result and release, Norm will then provide operational detail followed by a brief walkthrough of financial statements by Fabby and then we’ll open up for questions. First of all I would like to thank all of our staff for their tremendous effort in ongoing effort has delivered these excellent operational results for the start of 2015. With gold production of 189,414 ounces and all-in sustaining cost of $729 an ounce this performance provides solid support for the company’s operational guidance for 2015. Despite ongoing capital spend on growth projects our balance remains very strong with total liquidity of $869 million. Before handing over to Norm who will provide the detail on our operations around [ph] projects I would like to share some growth thoughts as it related to our business in Greece. As you are aware our Greek subsidiary, Hellas Gold at the end of February received a formal notice from Ministry of Energy revoking the approval required to complete the final construction of the processing plant at Skouries. We continue to believe that the decision of the Ministry has no legal basis and have taken appropriate legal action to protect the rights of the company our employees and all stakeholders. I would like to remind all that the integrity of the EIA the main permits supporting our projects in [indiscernible] has been confirmed now by three separate rulings by the Council of State, which is Greece’s Supreme Court on administrative environmental matters. Now the origins of the attitudes and the actions taken by the Ministry relate to significant misinformation on our investment that was propagated prior to the government coming to power. The company, our unions and the local society will provide overwhelming support for the investment, are actively engaged multiple levels within the government in what I refer to as an ongoing education process. Through the efforts of the legal framework we believe that the Greek government will in time, due course appreciate the merits of this investment and the investments will continue in the manner described. With that I will hand over to Norm.
Norman S. Pitcher : Thanks Paul and good morning everyone. As Paul mentioned it was a good quarter operationally for us. I don’t really have a lot of comments on the operations but I will just run through them quickly starting with Kisladag, we produced just over 79,000 ounces at cash cost of $522 per ounce. During the quarter we mined about 4.5 million tonnes of ore of which about 1 million tonnes was sent directly to the leach pad as uncrushed run of mine. Our strip ratio for the quarter was 1.721 and got a little bit lower than budgeted. Over to Efemcukuru, we produced just over 21,000 ounces at $604 per ounce. Very wet weather during the quarter slowed us down a little bit at Efemcukuru as it hampered dry stock tailings placement and impacted site water management. Great results, a little bit lower than planned due to changes in the short term mine plan. However we had a good month in April and have mostly caught up production wise going into May. In China, great start to the year at all three mines and all of them producing more ounces at less cost than budgeted with really no operating issues there. At Jinfeng we were 36,686 ounces at about $600 per ounce. White Mountain was almost 21,000 ounces at $600 per ounce and Tanjianshan was 26,626 ounces at $407 per ounce. That’s it for the gold mining operations. At the Olympias tailings retreatment we milled 137,000 tonnes at 2.2 grams per ton and produced just over 4,700 ounces of gold and at Stratoni we produced 12,478 tonnes of concentrate at cash cost of 738 per ton sold. Vila Nova was placed on care and maintenance in Q4 2014. A small amount of ore was processed during the plant shutdown and we did have one shipment of about 48,000 tonnes of iron ore sold during the quarter. On development projects, at Skouries despite the wet weather there, which is essentially the same weather we are seeing across the water [ph] at Efemcukuru we continue to progress the project. Open pit stripping using contract continued during the quarter and we expect to have the over burden and top soil removal completed during Q2. In the plant side we worked on piling and earthworks as well as concrete foundations in the floatation area. At Olympias we restarted the main decline during the quarter by using cover grouting to control water inflows. We also continued on both underground rehabs and new developments in the Olympias mine. Engineering on the Phase II plant at Olympias was advanced during the quarter, including procurement of long lead time items and development of basic engineering designs. Now over in China at Eastern Dragon, the project permit approval has been submitted to NDRC in Beijing and we anticipate approval of that application in May. Where we currently stand we are probably about a month behind in the permitting process right now. So the timing of the post PPA supplementary permits is critical to what we can get done during the field season this year. Just a little more on sort of permitting in China right now what we are seeing is any particular permit goes to an agency, for example NDRC and what they look for is consensus among other ministries. So they will reach out to Ministry of Commerce or Ministry of Land and Resources just to make sure that everyone is in agreement and we are seeing this I guess part of the focus on corruption in China. So they just want to get a broad consensus. It doesn’t really change, it doesn’t change the ultimate outcome, it just sort of slows the process down a little bit. At Certej we are still looking at the feasibility this quarter. On the exploration side generally Q1 is a relatively quiet quarter for exploration. However we did manage to drill just over 8,700 meters of drilling, most of which came from underground drilling at White Mountain. And then at Tanjianshan, development of the Qinlongtan North decline preceded on schedule during the quarter and underground drilling there began in April. With that, I will turn it over to Fabby.
Fabiana E. Chubbs: Thank you Norm and good morning everyone. Our result of the financial statement highlighted changes in significant accounts. Commencing with the balance sheet we ended the quarter with cash, cash equivalent and term deposit balance of $494 million compared to $501 million at the end of 2014. The change in cash balance is mainly the result of cash generation from operations, net of usage of cash flow for dividend payment and our capital program. Weak iron ore prices continued during the quarter, resulting in a non-cash write-down of $6 million of iron ore inventory cost. The increase of $11 million in the deferred income tax liability balance relates mainly to the impact of Turkish lira exchange rate changes on the tax basis of our Turkish assets. Moving onto the income statement we reported the loss attributable to shareholders of the company of $8.2 million or $0.01 per share for the quarter compared to a profit of $31 million or $0.04 per share in the first quarter of 2014. Adjusted net earnings for the quarter were $19.5 million or $0.03 per share compared to $37 million or $0.05 per share in the first quarter of 2014. The difference in adjusted profit year-over-year was mainly due to foreign exchange losses on monetary accounts of our Canadian, Brazilian and Turkish subsidiaries and lower gross profit from gold mining operations during the quarter. We reported revenues for the quarter of $238 million compared to $280 million a year ago. Revenues were impacted by lower iron ore sales, $17 million, a 5% fall in realized gold prices and a 5% fall in the ounces sold. The higher effective income tax rate resulted for non-cash item, including the impact of a weaker Turkish lira on the deferred tax balances as well as an increase in the percentage of unrecognized tax losses due to lower profit in the quarter. On the statement of cash flow during the quarter we generated cash flows from operating activities before change in non-working [ph] capital of $59 million compared to $95 million in the first quarter of 2014. The main usage of cash relates to our capital program $75 million and dividend payment of $6 million. Those are my comments on the financial statements. I will return the call back to Paul.
Paul N. Wright: Thank you Fabby, thanks Norm. Operator we will open up for questions at this point.
Operator: [Operator Instructions]. Your first question comes from John Bridges from JPMorgan. Please go ahead.
John Bridges : Hi thanks Paul everybody congratulations on the results. There was a story on Mine Web earlier this week talking about an overturning of a 2013 decision. I just wondered how meaningful that was and if you give us some background.
Paul N. Wright: Yeah, look it relates to legislation that existed at the time under which we were appealing a delay in approval of various permits. I mean it's to be preceded [ph] by new legislation John so the significance is somewhat muted. However, I guess I would say broadly speaking it tends to lend credence to the argument that I obviously made earlier that we have the support historically of all of the decisions that have been made on -- for the project itself. So this is just -- you have to get another decision by the council of state supporting the validity of our investment in the country. So it augurs well for future decisions I would suggest.
John Bridges: Okay. And then I'm just wondering obviously Greek is a sovereign country and makes its own decisions but to what extent is there an interplay between Greece rules and those of the European market?
Paul N. Wright: As it relates to -- sorry.
John Bridges: Would the Euro community have an interest in these decisions?
Paul N. Wright: One would suggest so, because through the development of employment and taxes the economic benefits accrue to the State of Greece, which ultimately is what the country needs to diminish its need for funds from the EUs and others. So this is, yes I mean major investment is indeed relevant. And I think it's safe to assume that our engagement includes the Europeans.
John Bridges: Okay, and then just on the operations, with regard to the Olympias ramp, how is that how is the advance going, that was slowed by the waters, it's improved now.
Norman S. Pitcher : Yeah, and the grout, the grouting is working. Quickly it’s not decisive [ph] if you weren’t having to do that but we do. I mean we can get sort of 30 meters ahead on the grouting curve and then once we've done -- once we've drilled those holes and you're just -- you're developing within that.
Paul N. Wright: I think we have a system now John that works. It's a matter of working to refine to get the productivity within that system as good as it can be. But I mean certainly for the time being we are going to have to continue to operate under grout cover but it's a matter of continuing month by month to perfect the efficiency of the elements of the cycle, I guess is the best way of putting in.
John Bridges: What sort of advance rate are you working on at the moment?
Paul N. Wright: Projected advance rates?
John Bridges: Yeah.
Paul N. Wright: What we had for the year, 70 to 80 meters per month, yeah.
John Bridges: Okay. Great. Thanks a lot. I will get out of the way. Thanks a lot.
Operator: Your next question comes from Kevin Chu from CIBC. Please go ahead.
Kevin Chu: Hi, good morning Paul and team and congrats on a good quarter. Had a few questions, maybe we can start with Kisladag. You talked about the benefit of higher grade placement of pad at the end of 2014. Just wondered do you expect that to have any sort of trickle effect going forward?
Paul N. Wright: The inventory has been chewed down fairly strongly there, so I wouldn't expect it to have as much effect. As we carry on we should be fairly clean now in terms of gold on and gold off I think.
Kevin Chu: And then the grade should kind of stick and sustain at that 0.7 gram per ton?
Paul N. Wright: Yeah, yeah.
Kevin Chu: Okay, and maybe a question on the CapEx it's well understood that the first quarter tends to see the lower capital spend. Maybe for the Greek assets in particular, could you maybe comment on, if you are still on track or expect to spend the $200 million and the $110 million that was budgeted earlier in the year?
Paul N. Wright: Look I think the impact of weather on Skouries is it has sort of slowed down progress. You know certainly the outstanding issues we have as it relates to permits, depending on how long it takes to resolve this could impact both progress as well as spend. So there is certainly some potential for slippage in terms of the spend rate and the schedule on Skouries. The Olympias however is unaffected and I think at this point were going full speed ahead.
Norman S. Pitcher: Yeah and the weather too, I mean first quarter as I said a couple of times was pretty darn wet. So our ability to do earthworks was limited and now we are getting into the better weather and they can start ramping up on that.
Kevin Chu: Okay. And maybe lastly if I could ask about the Eastern Dragon, in terms of the PPA, is that the key bottleneck or maybe if I ask you in another way, are any of the supplemental permits challenging to get approval for?
Norman S. Pitcher: They are not nearly as big as the PPA, because the PPA is what sort of makes it an official project approved by NDRC. So that's by far the big one. After that we got the EL, the exploration license gets turned into an ML. That's done by Ministry of Land and Resources centrally and then there is some forest permits that are done both locally and in Beijing but they are not and that's really they are not like the PPA.
Kevin Chu: Thanks. That's all from me.
Operator: Your next question comes from Michael Gray from Macquarie Capital. Please go ahead.
Michael Gray: Yeah, good morning. Got a question on the Stratoni, it was obvious you release the [indiscernible] at 26 meters near the mine. Number one, the gold credits are showing up, you've documented maybe comments on that because I haven't seen that before, and also what the plan is going forward down there exploration wise?
Paul N. Wright: Yeah, look I mean as much as the drilling results were impressive in terms of grades and -- fortunately or unfortunately I mean they relate to areas within our existing resource. So what we're really doing right now is sort of infilling in the existing resource base, but at present we don't have any ability within the flow sheet to recover gold, it’s sort of an interesting but not very relevant.
Michael Gray: Okay. Thanks guys.
Operator: Your next question comes from Patrick Chidley from HSBC. Please go ahead.
Patrick Chidley : Good morning, Paul or afternoon Paul and everyone. Just on the Turkish operations, in the quarter I understand you don't have any hedging for lira. Can you sort of outline how that will benefit the cost and how you see that going forward in the current quarter?
Fabiana E. Chubbs: In relation to the Turkish lira all our revenues are in U.S. dollars so in anticipation of continue at same levels there is no need to hedge. We do monitor it but having the revenues in U.S. dollars is your benefit, you can buy when you need it.
Patrick Chidley : Right. Did we have the benefit there in the cost from Q4 into Q1?
Paul N. Wright: Yeah.
Fabiana E. Chubbs: Yes. We did.
Patrick Chidley : Great okay, and just a question on that Olympias deep line then, are you attacking that from both sides, I cannot remember.
Norman S. Pitcher: No, we are not right now. We do have that ability to -- we need to get down a little bit further in the Olympias mine itself to be able to start coming in from that end.
Patrick Chidley : I see. But that would be sort of in the sort of medium term plan I guess, is it?
Norman S. Pitcher: Yeah, medium term.
Patrick Chidley : Because otherwise it looks it might take a very long time to finish it, yeah?
Norman S. Pitcher: Yeah, no for sure it will more efficient to be able to start down below.
Paul N. Wright: Part of the problem Patrick because is we just don’t have the hydrological information and though how long we are going to be in conditions which require grouting. That is part of the problem. So as Norm says as soon as we can we obviously we will get going from the other end. It’s unfortunate because the actual ground conditions themselves are very good. It’s the water is what’s obviously inhibiting our progress.
Patrick Chidley : Okay, thanks, thanks. And then last question just on follow-up from John’s question earlier on the EU. Is there a legal recourse in terms of Brussels, in terms if the Greek actions here are indeed illegal do you have the resource in the courts in Europe?
Paul N. Wright: It’s not a European issue. I mean we operate with a contract. This project is embedded in a formal contract with the Greek government and it’s a legally binding contract whereby the parties have responsibilities and we are fulfilling our responsibilities and we are clearly, as I stated we will take the view on sound legal advice that the actions of the government are frankly without legal basis and the courts function appropriately, responsibly in Greece and as part of the defense of our stakeholders and the society’s interest we are and we will pursue resolution favorably through the courts. Now a part of our approach to dealing with the issue. The other part frankly is and this is where I’d like to emphasize is the engagement that is ongoing, between ourselves, the company, the unions by the Canadian government to remedy, shall we say the misunderstanding or misinformation that has led to a certain position being taken by ministry and the Greek government, alright. It is really the process we might -- maybe you will see resolution, long-term resolution.
Patrick Chidley : Okay, thanks. And just on that progress Skouries, obviously work is still continuing, does this change actually impact the kind of work that you can do, or is it just you are choosing maybe to slow down certain elements?
Norman S. Pitcher: Well, we are having to work around some of the constraints as it relates to tree cutting but at present we have close to 800 people engaged in construction activities on Skouries and there is lots to do. The major impediment in the first quarter was not really the actions as it relates to this, the permits, it was more to do with the weather conditions and just where we were on earth works. But now that we are getting into the dry season we have a very large earthworks program planned for the next couple of quarters.
Patrick Chidley : Okay, thanks.
Operator: Your next question comes from Kerry Smith from Haywood Securities. Please go ahead.
Kerry Smith: Thanks, operator. Norm, it looks like you put more tons on the pad in the quarter two then you might have, can you just remind me the tons that you think you will place in the pad this year?
Norman S. Pitcher: I think it’s around about $17.4 million, of which recall that we are permitted for about 12.5 through the crusher and [indiscernible] that to be run in the mine.
Kerry Smith: Okay.
Norman S. Pitcher: There is not about even half…
Paul N. Wright: That is a not a…
Norman S. Pitcher: If we can put more through we would.
Paul N. Wright: Yeah, it is just crusher, we are limited by crusher capacity, yeah.
Kerry Smith: Right, okay. So really the tons to the pad in the quarter was actually kind of roughly in line with what you were budgeting….
Norman S. Pitcher: Yeah, that’s about right, yeah.
Kerry Smith: Okay. And then just on the CapEx for the year, like in the quarter you only spent about $14 million of CapEx at the operation, and your budget I think was $165 million. So you kind of spent less than 10%. So just wondering how that incremental amount in that budget would get spent over the next three quarters? Would it be just equally split because that obviously had an impact on your all-in cost which were lower obviously primarily because of that? I'm just curious how it would spread out over the next three quarters.
Paul N. Wright: Kerry you're always trying for quarterly guidance, aren’t you. In a way we admire your tenacity. Look I mean at this point historically we tended to spend a little bit less each year on sustaining capital. But I think you're going to lose a little bit less on the early exact quarter [ph].
Kerry Smith: So what I was actually getting at Paul was more like do you think the 165 will likely get spent this year, or would it be a lesser number, just given that you spent so little in Q1?
Paul N. Wright: We won’t overspend, that’s for sure. It's hard to say after one quarter worth of capital spending. We tend to be a little bit light and this is probably going to be the same. But there is -- the sustaining capital there is a lot of work we need to get done and we'll spend most of the money Kerry.
Kerry Smith: I got it okay. And Paul just on the this permit to finish the mill shell at Skouries, like whether that’s actually become a bottleneck in terms of the construction itself? I guess is it an event that wouldn’t happen till next year or is it something that might be later this year. Just wondering when it kind of becomes critical for you, or if it even does become critical?
Paul N. Wright: Well you could suggest [indiscernible] we get operate the mill as an open air mill. Look I mean we're number of months before it becomes an issue. And I guess Kerry my view is that we will see resolution of this situation before it becomes a critical item.
Kerry Smith: A critical item, okay, okay. Okay that's great, thanks, appreciate it.
Operator: Your next question comes from Anita Soni from Credit Suisse. Please go ahead.
Anita Soni : Just a question with regards to the carry rates at Kisladag. Could you just remind me actually just to the oxides and the sulphides that are going through the mill, do you have any oxides that are going to left, that are going to the mill at this point?
Paul N. Wright: There is a little bit of upside material, I think and so we budget 80% recovery, to the material that's crushed to be less than 10% of what goes probably.
Anita Soni : And then the sulphide stuff is around low 60s right?
Paul N. Wright: That's correct. Yeah, depending on lithology [ph] et cetera but that's a reasonable number to…
Anita Soni : And run the mine with 40s, is that right?
Paul N. Wright: A little bit less than that, sort of mid-30s I guess.
Anita Soni : Alright and since you've already asked -- addressed my strip ratio question that's it from me thanks.
Paul N. Wright: Since you are asking operational questions, Anita allows me to bring up a mistake I made during the call on Jinfeng. I said I got -- I pull [indiscernible] cost on Jinfeng as well. So it's not 600 cash cost at Jinfeng, it’s 517 per ounce C1 cash cost.
Anita Soni : Thanks very much.
Paul N. Wright: Yeah.
Operator: [Operator Instructions]. Your next question comes from Dan Rollins from RBC Capital Markets. Please go ahead.
Dan Rollins: Norm just following up your comment on China. You had a really, really good cost on the C1 basis and total basis to start the year. Should we expect that to continue or is there something -- has something materially changed and you got cost down a lot versus guidance or should we just expect that to marginally move up throughout the year.
Norman S. Pitcher: Yeah, I mean again without giving quarterly guidance. I mean we're not redoing our guidance yet. I mean we'll do what we always do, mid-year we'll peg it. Yeah we have a great cost. It was not going to continue on for the rest of the year, I mean give us to mid-year.
Dan Rollins: Okay but are you guys seeing anything like there is been any stepwise changes on our productivity or consumable costs that are driving that or is it just sort of quarterly ebb and flow.
Norman S. Pitcher: I think it's I mean I think we still sort of -- we're not seeing stepwise changes. We are still expecting I think the same number of ounces as we originally guided. Costs are a little bit lower because of exchange rates as much as anything else, exchange rate and fuel, that probably a little bit better than we anticipated at the budget time.
Dan Rollins: Okay that's great. And then maybe Fabby, just a quick question. You mentioned that there was an incentive tax credit provided for Kisladag. Could you maybe provide a little bit of color, will that impact cash taxes paid going forward or will that only relate when the phase I expansion does occur.
Fabiana E. Chubbs: It is cash going forward but it's taken over -- you have a limit of how much you can use each period. So it will be over two periods probably.
Dan Rollins: Okay great, thank you.
Operator: [Operator Instructions]. We have no further questions at this time. I will turn the call over to Mr. Wright.
Paul N. Wright: Okay, thank you operator and thank you everybody for attending and participating in this call. And enjoy the weekend.
Operator: This concludes today’s conference call. You may now disconnect.